Operator: Hello, and welcome to the Garmin Ltd. Third Quarter 2023 Earnings Call. [Operator Instructions] I will now turn the conference over to Teri Seck, Director of Investor Relations. Please go ahead.
Teri Seck: Good morning. We would like to welcome you to Garmin Limited's Third Quarter 2023 Earnings Call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, segment growth rates, earnings, gross margins, operating margins, future dividends or share repurchases, market shares, product introduction, future demand for our products and plans and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K filed with the Securities and Exchange Commission. Presenting on behalf of Garmin Limited this morning are Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Cliff Pemble: Thanks, Teri, and good morning, everyone. As announced earlier today, Garmin delivered outstanding results in the third quarter with strong growth in consolidated revenue, operating income and earnings. Consolidated revenue came in at $1.28 billion, up 12% over the prior year, driven by growth in four of our five business segments. Gross and operating margins were 57% and 21.2%, respectively, resulting in operating income of $270 million, up 13% year-over-year. We registered GAAP EPS of $1.34, and pro forma EPS came in at $1.41, up 14% over the prior year. We are pleased with our third quarter results and are updating our full year 2023 guidance accordingly. We now expect revenue of approximately $5.15 billion and pro forma EPS of $5.25. Before turning the call over to Doug, I’ll provide highlights by segment and an outlook of what we see ahead. Starting with the fitness segment, revenue increased 26% to $353 million, a new third quarter record for the segment and a continuation of the strong performance we’ve been experiencing all year. Growth was broad-based across all categories, led by strong demand for wearables. Gross and operating margins were 54% and 21%, respectively, resulting in improved year-over-year operating income of $75 million. During the quarter, we introduced the new Venu 3 smartwatch family in two sizes as well as the value packed vivoactive 5 with a bright AMOLED display. These wearables have robust new health and wellness features, including nap detection and enhanced sleep coaching. Also, we recently announced that our ECG App is now approved for use with recently introduced products, including the Venu 3 as well as our popular, epix Pro and fēnix 7 Pro series watches. This FDA cleared and clinically validated app records heart rhythms and checks for signs of atrial fibrillation. The expansion of the ECG App gives our customers another powerful tool for managing their health. Given the strong year-to-date performance and the current trends, we now expect fitness revenue to increase approximately 20% for the year. Moving to the outdoor segment. Revenue increased 7% to a third quarter record of $434 million, with growth across multiple categories, led by adventure watches. Gross and operating margins were 62% and 31%, respectively, resulting in operating income of $136 million. During the quarter, we launched the tactix 7, with a bright AMOLED display, a night vision compatible flashlight and up to 31 days of battery life. We recently announced the MARQ Carbon premium smartwatch collection, crafted from 130 layers of Fused Carbon Fiber, making these watches distinctive, strong, lightweight and ready for adventure. We’re pleased with the performance of the outdoor segment, but the path to growth has been more challenging than anticipated when compared to the strong performance of 2022 and the timing of product introductions in 2023. Given the year-to-date performance, we now expect outdoor revenue to decrease approximately 5% for the year. Looking next at the aviation segment. Revenue increased 5% to a third quarter record of $198 million, with growth driven by OEM product categories. Gross and operating margins were strong at 75% and 25%, respectively, resulting in operating income of $49 million. During the quarter, we were ranked number one in avionics product support by Aviation International News for the 20th consecutive year. Being consistently recognized for unrivaled support year after year highlights our strategic focus on taking care of customers and standing behind our products. Also, we recently announced a long-term agreement to provide state-of-the-art G3000 integrated flight decks to BETA Technologies for its all-electric aircraft. Year-to-date, revenue from aviation has increased 11%, and we are very pleased with this result. As a reminder, we faced significant supply chain constraints in 2022 that shifted revenue into the final quarter of the year, as we caught up on back orders. We do not expect these conditions to repeat in 2023. With this in mind, we are maintaining our 5% growth estimate for the full year, implying that fourth quarter revenue from aviation will decrease approximately 10% year-over-year. Turning to the marine segment. Revenue decreased 7% to $182 million, with decreases across multiple product categories, partially offset by contributions from JL Audio. As many have reported, the marine market has slowed in 2023, but we’ve been performing better than the market, and our third quarter performance exceeded our expectations. Gross and operating margins were 52% and 13%, respectively, resulting in operating income of $24 million. During the quarter, we launched the GPSMAP 9000 series in multiple sizes, including the 27-inch GPSMAP 9227 that was recognized with an Innovation Award at the recent International Boatbuilders’ Exhibition. For the ninth consecutive year, the National Marine Electronics Association named Garmin Manufacturer of the Year, and we received five Product of Excellence awards. We were also recognized as the Most Innovative Marine Company by Soundings Trade Only, a leading marine trade publication. We recently completed the acquisition of JL Audio, an iconic premium audio brand that extends our ability to offer highly integrated audio features across all of our marine product lines. Given the better-than-expected third quarter performance and the addition of JL Audio, we’re updating our expectations for 2023. We now expect full year marine segment revenue to be approximately flat to the prior year. During the fourth quarter, we expect JL Audio to be approximately 15% of total marine segment sales. Moving finally to the auto OEM segment. Revenue increased 59% to $110 million, a third quarter record with growth primarily driven by increased shipments of domain controllers to BMW. Gross margin was 21% and the operating loss narrowed to $14 million. During the quarter, domain controller deliveries continue to ramp across the BMW lineup. We also experienced strong growth in infotainment categories, with contributions from Yamaha Motorsports and Honda motorcycles. Given the strong year-to-date performance, we now expect auto OEM revenue to grow approximately 40% for the year. That concludes my remarks. Next, Doug will walk you through additional details on our financial results. Doug?
Doug Boessen: Thanks, Cliff. Good morning, everyone. I’ll begin by reviewing our third quarter financial results, provide comments on the balance sheet, cash flow statement, taxes and updated guidance. We posted revenue of $1,278 million for the third quarter, representing a 12% increase year-over-year. Gross margin was 57%, a 100 basis-point decrease from the prior year quarter. The decrease was primarily due to segment mix, partially due to product mix in certain segments. Operating expense as a percentage of sales was 35.9%, a 190 basis-point decrease. Operating income was $270 million, a 13% increase. Operating margin was 21.2%, a 20 basis-point increase. Our GAAP EPS was $1.34. Our pro forma EPS was $1.41, 14% increase from the prior year. Next, we’ll look at our third quarter revenue by segment and geography. In the third quarter, we achieved record consolidated revenue and growth in 4 of our 5 segments, led by double-digit growth in both the fitness and auto OEM segments. By geography, Americas and EMEA regions achieved solid growth of 12% and 15%, respectively, while the APAC region achieved solid growth of 8%. Looking next at operating expenses. Third quarter operating expenses increased by $27 million or 6%. Research and development increased $13 million year-over-year, primarily due to engineering personnel costs. SG&A increased $12 million compared to prior quarter, primarily to increases in personnel-related expenses and information technology costs. Advertising expense increased primarily -- approximately $2 million, primarily due to higher co-op advertising spend. A few highlights on the balance sheet, cash flow statement and taxes. We ended quarter with cash and marketable securities, approximately $2.8 billion. Accounts receivable of $721 includes the addition of JL Audio and was in line with the year-over-year increase in sales. Inventory balance increased year-over-year to $1.4 billion -- to execute our strategy to optimize inventory, reductions to our consumer inventory more than offsetting increases associated with our auto OEM business, the addition of JL Audio inventory. During the third quarter of 2023, we generated free cash flow of $312 million, a $208 million increase from the prior year quarter, primarily due to a lower use of cash purchase of inventory. Capital expenditures for the third quarter were $46 million. We now expect full year 2023 free cash flow to be approximately $900 million. During the third quarter, we paid dividends of approximately $140 million. Also, we purchased $9 million of company stock and approximately $18 million remaining at quarter end share purchase program which was authorized through December of 2023. Pro forma effective tax rate was 7.2% compared to 4.3% in the prior year quarter. Year-over-year increase was primarily due to income mix by jurisdiction. Turning next to our full year guidance. We estimate revenue of approximately $5.150 billion compared to our previous guidance of $5.50 billion. We expect gross margin to be approximately 56.7% compared to our previous guidance of 57.2%. The change is primarily due to the anticipated full year segment mix, the mix of increased sales of newly acquired JL Audio, which has expected gross margin lower than the marine segment average. We expect an operating margin of approximately 19.8%. Also, we expect a pro forma effective tax rate of 8.5%, which is unchanged from our previous guidance. This results in expected pro forma earnings per share of approximately $5.25, which includes approximately $0.05 dilutive impact related to a newly acquired JL Audio, which is unfavorably impacted by effects of purchase accounting. This concludes our formal remarks. Sarah, could you please open the line for Q&A?
Operator: [Operator Instructions] Your first question comes from the line of Erik Woodring with Morgan Stanley.
Erik Woodring: Maybe if we just start at higher level. Cliff, you’ve raised the auto OEM growth rate guidance twice in the last two quarters. For this year, you’re now anticipating 40% growth. Does that stronger 2023 outlook for auto OEM imply that you kind of are already ahead of your $800 million 2025 target? Like, is this pull forward? If you could just help us kind of unpackage how we should be thinking about the trajectory of this business over multiple years? How that’s changed given your outperformance this year? And then, I have a follow-up. Thank you.
Cliff Pemble: I think the demand from the automakers basically is certainly not a guarantee at the beginning of the year. So, we make estimates based on their best estimates, but things ebb and flow throughout the year. So this really is just the tweaking of their build plans and their demands for our product as the year goes along. And I don’t really see this as a pull forward or puts or takes from the overall growth outlook that we’ve provided.
Erik Woodring: Okay. That’s helpful. And then maybe I’ll stay on auto OEM for my second question. And we’re seeing some nice improvement in your auto OEM OpEx base. Gross margins were down, I think, 240 basis points sequentially, but you saw operating margins improved more than 400 basis points sequentially. So I guess, if I do the simple math and say, if you continue this trajectory, you could see the auto OEM business turn to an operating profit by midyear next year. Just curious if that’s how we should be thinking about kind of the linearity of the auto OEM margin improvement, or how we should be -- how you would change kind of the math that I just laid out or the trajectory that you guys are thinking about? Thank you.
Cliff Pemble: Yes. At the beginning of the year, we said that our target was for profitability in 2024, and we’re still progressing towards that. I’m not sure that I would put a lot of weight in the linearity because with model changeovers and new models coming on and the timing of those being somewhat unpredictable, the linearity from quarter-to-quarter probably doesn’t allow to extrapolate directly to mid next year. But we’ll provide more updates at the beginning of 2024 when we have a chance to evaluate the full year.
Operator: Your next question comes from the line of Joseph Cardoso with JPMorgan.
Joseph Cardoso: So first one for me is just on the marine business. Last quarter, you talked about softness building in that business on the back of general macro headwinds and the strong couple of years you guys had. I guess, can you just clarify how that has tracked versus your expectations 90 days ago, just given that now you’re including JL in the business mix? And just any updated thoughts on that business on a go-forward basis as you think about a trough? Thanks. And then, I have a follow-up.
Cliff Pemble: So definitely, at the beginning of last quarter, July into August, there was a real marked seasonality, I guess, is what we would say in the marine activity. And I would probably attribute that, at this point, looking back as being back to the norms that we saw pre-pandemic for deep seasonality in the early part of Q3. As we moved into September, things definitely got better in the market, and then we acquired JL towards the back half of the month of September. So, things progressively got better as we went along, but the headwinds that I’ve mentioned about the marine market continued to be out there. The market has softened. I think everyone is reporting that and the behaviors of customers have definitely changed from what they were a year or two ago.
Joseph Cardoso: That’s super helpful. And then just relative to the JL acquisition itself, how are you thinking about the levers you have to drive margins in that business to track to the marine level average, post or pre the acquisition? Is it more of a volume play for you, or do you have additional actions you can take to drive margins to improve in that business? And any thoughts around time line of when you can kind of get those margins up to like the historical corporate average? Thank you.
Cliff Pemble: I think, in general, this category probably will still be on the lower end of the overall segment. But we do have ways that we can improve it over time. As you say, leverage is one of those things, leverage in terms of our overall purchasing power as a company as well as operational leverage and efficiencies and taking advantage of the broader Garmin infrastructure. So, those are the things we’re focused on as we get immediately into this. And over time, we should be able to bring it up closer to what our audio categories are currently.
Operator: Your next question comes from the line of George Wang with Barclays.
George Wang: Just kind on the buyback and capital allocation, just given the kind of cash balance over $2.8 billion. Just noticed kind of buyback wasn’t that large last quarter. Just curious if the philosophy, kind of thinking has changed just on the capital allocation front, especially on the buyback and also additional kind of bolt-on, if any, on the horizon.
Doug Boessen: Yes. Our priorities for cash are the same. Those priorities are, obviously, reliable dividends; second of which is investments back in our business, primarily CapEx weighted to build our infrastructures; and third of which relates to our strategic acquisitions such as JL Audio. And then also due to a share repurchase. So, as it relates to share repurchases, we do have an authorization through the end of this year, about $18 million there. And that’s -- and we have our purchases really based upon the market, the business conditions as such. So, similar type priorities for allocations and consistency of how we’ve gone through the share buybacks.
George Wang: Okay. Got you. I just had a quick follow-up. Just in terms of outdoor, it seems kind of tougher compare year-over-year basis, kind of timing for the product launch. Just curious if you can double click on the segment versus your prior expectation, maybe a little bit weaker on the margin? Just curious, any refresh on the horizon for the fēnix -- next fēnix watch?
Cliff Pemble: Yes. I think, George, it was similar to what we mentioned in our remarks that last year was an incredible year with the introduction of the fēnix 7 and epix. And this year, the timing of our refreshes of that product line came later than we had anticipated. So definitely comping against what we saw in 2022 was difficult. But, we are positive about our new product lines. They’ve been received well and generated growth in this last quarter. And we’re seeing strength across other product lines in this segment as well. In terms of future outlook, we don’t really comment on the next generations, but we’re constantly refreshing our product road maps. And I would anticipate next year to have very strong product releases.
Operator: Your next question comes from the line of Ron Epstein of Bank of America.
Unidentified Analyst: This is Jordan on for Ron. So I just had a quick question. Could you guys give any commentary on current backlog and then channel inventory that you guys are seeing going into like the holidays?
Cliff Pemble: Yes. I think backlog-wise, Jordan, we aren’t a business that really has a long backlog because retailers tend to put in their orders closer to when they need them. But the indications that we have from retailers are that they see potential for the fourth quarter selling season. They’re preparing for a good season, and the channel inventories up to this point have been adequate or lean even. So, they’re gearing up for a good shopping season.
Operator: Your next question comes from the line of Ben Bollin with Cleveland Research.
Ben Bollin: Cliff or Doug, I’m curious on your bigger picture perspective on outdoor and fitness gross margins. If you look back pre-COVID, we still haven’t quite recovered to the gross margin level seen in ‘17 and ‘18. Just curious how you think about the opportunity to return to those levels in the higher-end wearables categories? And then I have a follow-up.
Cliff Pemble: Yes. I think there’s so much has happened between then and now that it would be hard to really build a bridge from where we were back then in terms of margin structure to now. I would say that the product mix probably has a big part of that. And so, as the segment ebbs and flows in terms of various categories, the gross margin will vary accordingly.
Ben Bollin: Okay. And then the other question for you, Cliff, is a bigger picture also. How you think about more opportunities with recurring revenue? You’ve talked about lower arm [ph] and inReach, and it seems like that’s expanded. Curious if you see other opportunities to pursue maybe M&A in the app space or other content space, introduce your own? Just high-level thoughts on that.
Cliff Pemble: We’re looking across all of the things that we offer as a company, including content and are looking for ways that we can monetize that into value-added services for our customers. Some recent examples of that are marine chart subscriptions that come with our chartplotters and also outdoor maps that we can bundle with all of our products really that focus on the outdoor segment. So, we’re looking more organically at that and not necessarily at M&A, but we do have a lot of opportunities where we can leverage.
Operator: Your next question comes from the line of David MacGregor with Longbow Research.
Unidentified Analyst: This is Joe Nolan on for David. So, I’m not expecting any sort of quantitative guidance or anything, but I was just hoping you could talk high level about some of your initial thoughts for 2024? And just maybe how conversations are going with customers regarding 2024?
Cliff Pemble: Yes. I think, unfortunately, I really can’t provide much color because, as I mentioned earlier, we’re -- most of our business lines are shorter cycle, meaning that retailers are focused now on Q4. And we really haven’t had a lot of discussions around what they’re thinking for next year. So, again, I would just look generally at the momentum we have right now and generally, favorable indications we’re getting for fourth quarter as indications that hopefully business will continue to be good into 2024.
Unidentified Analyst: Got it. Okay. And then just a quick follow-up. With the UAW strike, just can you talk about what sort of -- what impact, if any, that’s having on your guys business?
Cliff Pemble: Yes. There’s really no impact that we’ve had from that event. Most of our OEM customers are outside of the Big 3 that were affected by that. So, that’s not something that’s affected us.
Operator: Your next question comes from the line of Noah Zatzkin with KeyBanc.
Noah Zatzkin: Maybe just one for me on the stronger-than-expected trends in fitness. Hoping you could provide some color around the drivers. And maybe any larger trends at play as you see them that are driving better-than-expected performance in fitness, maybe relative to expectations a quarter or two ago? Then I have a quick follow-up.
Cliff Pemble: Yes. Noah, the big driver really is, as we mentioned in the remarks, wearables have been very strong. And that’s across all of the wearable families in fitness, from running watches to the advanced wearables to even basic wearables. So, everything there has been strong. Other categories in the segment were also very strong. We saw strength across the whole segment really. So it definitely was much better than what we had anticipated earlier in the year, as our new products came to market and they were well received.
Noah Zatzkin: And then, maybe just one on marine EBIT margins. I think 13% down sequentially, quite a bit. So just hoping you could provide some color on kind of the puts and takes there? And then, how to think about margins relative to historical next quarter given the addition of JL Audio?
Doug Boessen: Yes. So relating to those margins, obviously, the decline in sales had an impact on us, obviously, deleveraging on our expenses. Also relating to the gross margins, we did -- as we previously talked about, with JL Audio in there, that’s a lower gross margin than the marine average. So, that did have an impact on it also. So, it’s really just a combination of that gross margin and some product mix in our marine organic business there as well as the sales output. Then on an ongoing basis, as it relates to JL Audio, we should see -- as Cliff talked about, as it relates to our gross margins, they are lower. So there’ll probably be some dilution of that as we go, but hopefully, we’ll be able to get some synergies and opportunities, get those improved as we move along.
Operator: Your next question comes from the line of Ivan Feinseth with Tigress Financial Partners.
Ivan Feinseth: Congratulations again on the great results and the increased outlook. On the acquisition of JL, you talked about expanding the marine audio, but what about do you think some opportunities for you to integrate this in automotive OEM audio? And then recently, another company launched a headset, a bone induction headset. Do you think there’s opportunity to expand in some of the consumer product audio areas?
Cliff Pemble: JL Audio already has a fairly broad market reach across several markets, including, of course, marine is one of the biggest. But they also have products for aftermarket audio as well as power sports and home audio. And so consequently, they’re pretty diverse, which is exciting, gives us some opportunities to explore some new areas. And I think each one of those has their own nuances. I think aftermarket audio is a very specific kind of play, but the expansion in power sports and also home audio are new areas of business for Garmin.
Ivan Feinseth: And if you went into home audio with them, would you be rebranding? It would be a Garmin brand or a Garmin JL brand?
Cliff Pemble: Well, they’re already in home audio. So they’re currently selling systems right now, subwoofers and things for home theater systems. And so, we intend to continue those business lines and invest in an appropriate level of innovation across their various product lines.
Ivan Feinseth: Very good. And then on the introduction of the new MARQ Carbon. What kind of like uptake are you seeing from, let’s say, people new to the brand or upgrading existing watches? And also because of the much higher price points, are you looking to go into like a different type of marketing platform or different retail distribution for those watches?
Cliff Pemble: I think MARQ Carbon fits in nicely with our overall high-end product line. If you look, especially in adventure watches, starting with the fēnix and epix line, these are premium launches anyway. But customers do appreciate unique materials and unique designs, and that’s why we’ve been successful in carving out our own niche in this huge market. I think as we look at customers and the registrations, they tend to vary by product line, depending on what it is, but we see anywhere from mostly new customers coming into the category to repeat customers. But either way, we’re pleased with the ability to offer a broad product line at low end to high end, to cover as many customers as we can.
Ivan Feinseth: And then on the new ECG functionality on the fēnix -- on the Pro line, is that because you’re able to integrate because of the more advanced sensors that are now in the Pro line, or how broad can you go, let’s say, with that functionality?
Cliff Pemble: I think that’s an indication of the platform capability that we have. We have sensor technology that we design in platforms, and we’re able to move that platform across all different kinds of product lines. And so that the fēnix and the epix Pro series are the ones that receive that latest platform, and we were able to then launch the ECG App for those products as well.
Ivan Feinseth: Then one last question. Do you think that there’s some opportunity at some point to incorporate the SOS functionality of inReach within a watch, just for that one feature?
Cliff Pemble: Well, I can’t comment on specific features, but we’re constantly working on innovations across our product line. So, I always feel like there’s many more great ideas that we need to be working on and lots of opportunity ahead.
Operator: [Operator Instructions] Your next question is a follow-up from Erik Woodring of Morgan Stanley.
Erik Woodring: I just wanted to ask you, Cliff, because you brought it up earlier, just about your visibility into kind of consumer holiday demand this year. What trends you’re seeing that are emerging that will influence your outlook? And I asked because the guide implies about 10% sequential growth in 4Q for revenue versus normal historical seasonality close to 15% to 20%. So just what the puts and takes are why potentially you might be seeing some subseasonal growth? And if it’s a reflection of the holidays and consumer demand, or if that is the kind of non-consumer pieces of the business?
Cliff Pemble: Yes. I think every year is probably different. As I mentioned earlier, retailers are positive about what they are anticipating for the fourth quarter. So, we’re definitely gearing up for that. And when we provide these estimates, we definitely want to provide estimates that we have high confidence in. And so, that is how we approach the guidance.
Operator: Your next question comes from the line of Ron Epstein with Bank of America.
UnidentifiedAnalyst: A quick question, too, on aviation. Are you guys seeing any changes in demand for biz jet products? I know you guys -- in the press release, you said that it was driven by the OEM sales.
Cliff Pemble: Yes. I think all of the people who report business jet activity are definitely saying that activity remains strong. They’re sitting on big backlogs that they’re trying to fill. And they haven’t dramatically increased production rates, meaning that there’s still a large amount of backlog that has to be worked through over the next few years. So, as a result, that market continues to show promise as we work through that. And I would probably leave the forward speculation about aircraft and demand to them. But in general, there seems to be encouraging demand across all business jet platforms and customers still want these products.
Operator: There are no further questions at this time. I will turn the call back to Teri Seck for closing remarks.
Teri Seck: Thanks, everyone, for your time today. Doug and I will be available for callbacks throughout the day and talking to many of you. Have a wonderful day. Bye.
Operator: This concludes today’s conference call. Thank you for joining. You may now disconnect.